Operator: Good morning, ladies and gentlemen, and welcome to today’s Group 1 Automotive 2010 First Quarter Financial conference. Please be advised that this call is being recorded. At this time, I would like to turn the conference over to Mr. DeLongchamps, Vice President of Manufacture Relations and Public Affairs. Please go ahead Mr. DeLongchamps.
Peter DeLongchamps: Thank you, (Sarah), and good morning, everyone, and welcome to today's call. Before we begin, I would like to make some brief comments and remarks about forward-looking statements and the use of non-GAAP financial measures. Except for historical information mentioned during the conference call, statements made by management of Group 1 Automotive are forward-looking statements that are made pursuant to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. Forward-looking statements involve both known and unknown risks and uncertainties, which may cause the company's actual results in future periods to differ materially from forecasted results. Those risks include, but are not limited to risks associated with pricing, volume, and the conditions of markets. Those and other risks are described in the company's filings with the Securities and Exchange Commission over the past 12 months. Copies of these filings are available from both the SEC and the company. In addition, certain non-GAAP financial measures as defined under the SEC rules may be discussed on this call. As required by applicable SEC rules, the company provides reconciliations of any such non-GAAP financial measures to the most directly comparable GAAP measures on its website. Participating on today’s call is Mr. Earl Hesterberg, our President and CEO; John Rickel, our Senior Vice President and Chief Financial Officer; and Lance Parker, our Vice President and Corporate Controller; and myself. I would now hand the call over to Earl.
Earl Hesterberg: Thank you Pete and good morning everyone. In a moment, I’ll turn the call over to John Rickel, so he can provide details of our first quarter financial results. So let me first touch on some of the operational highlights during the quarter. We improved our new vehicle sales by 18% despite a very poor start to the quarter resulting from the Toyota recall challenges numerous selling days lost to extreme winter weather and January and February. Industry selling activity for both new and used vehicles dramatically improved in March. While manufacture incentive activity in March certainly contributed to the improving sales environment, it’s our sense that consumers are starting to gain confidence and we are seeing the beginning of a recovery in new vehicle sales. We saw improvements in most markets and brands in March. According to J.D. Power the March start came in 11.7 million units reflecting a 38% increase in retail sales in February in 2010. This was the best showing since the Cash for Clunkers didn’t result in August last year and we are continuing to see signs of market strength in April. In association with this improved new car sales environment we saw a significant double-digit improvement in our new vehicle revenues, gross profit and gross profit for unit results compared with the same period a year ago. New vehicle gross margin increased 70 basis points to 6.1% on a year-over-year basis. Turning to our largest manufacture partner, clearly Toyota’s recall issues dominated the automotive news during the first quarter. And we talked about this on our fourth quarter call but not sure how much of an impact these issues would have on our sales particularly the stop sale on models that represented about 60% of our Toyota volume. We found that the stop sale was short lived and following that period Toyota began to introduce aggressive financing incentive and pre-maintenance programs to restart their sales. This worked well in March and gave consumers a reason to come back to Toyota dealerships. The Toyota brand remains a powerful one and the attractive offers generated substantial increase in customer traffic at our Toyota dealerships. As a result we’ve seen Toyota sales re-bounce strongly. For the quarter our Toyota sales increased 14% over the same period a year ago. And then the other operating highlights of the first quarter were improved used vehicle sales 24% on a year-over-year basis, increased gross profit in all business segments, expanded new vehicle and parts and service gross margins from the prior year period, better retail use vehicle margins on a sequential quarter basis, improved SG&A as a percentage of gross profit by 250 basis points (inaudible) car structuring increased gross profits. Operating income increased 38% and earnings on an adjusted basis more than doubled. And regarding our brand mix during the first quarter, a percentage of our sales from Toyota sign on Lexus brands was down a bit from the fourth quarter accounting for 35% of our new vehicle units. Whereas Nissan Infiniti and Honda Acura increased their percent of the mix to 16% and 13% respectively. Grounding out our new vehicle unit sales for BMW and Mini with 10%, Ford at 9%, Mercedes-Benz accounted for 5% and GM and Chrysler accounted for 4 and 3% of unit sales respectively. In total luxury and import sales account for 85% of our new vehicle unit sales. Our new vehicle inventory was in good shape at a 48 day supply at the end of the first quarter. Looking at the used vehicle business, used retail unit sales were up 15% driving a 24% revenue improvement in the first quarter from the prior year period. We did see a sequential improvement in these retail margins of 70 basis points in the fourth quarter and better trading volumes helped offset continued margin pressure from the need to outsource the supply of a significant number of used vehicles. Increases in used vehicle prices through the quarter led to the higher to normal wholesale profits of $248 per unit. We anticipate in both of our used retail and wholesale results return to more historical ranges as new vehicle sales rebound and used vehicle valuations normalize. We continue to manage our used vehicle inventory at a lean 31 day supply which is consistent with industry levels. Turning now to our other business segments, in line with improved retail vehicle sales our finance and insurance revenues grew 17%. Per unit basis profit increased to $1052 per unit primarily as a result of increased finance and attrition rates and improved chargeback experience. Our parts and service gross profit grew 4.2% on a 2.5% higher revenues resulting in a 90 basis point gross margin improvement to 53.7%. Two large Toyota recalls were major driver during the quarter. However our customer paying wholesale parts businesses were also up and our parts and service business in total had positive revenue growth of about 1% excluding the Toyota recall work. In total, we repaired almost 35,000 unique Toyota vehicles in the quarter at an average repair order value of $145 per unit. While the initial rushes past, we anticipate that we will continue making these repairs through the third quarter. At present we are still repairing approximately 1,500 per week. With that I’ll now ask John to discuss our bottom-line and go over our financial results in more detail. John?
John Rickel: Thank you Earl. Good morning everyone. For the first quarter of 2010, our adjusted net income more than doubled to $10.4 million or $0.44 per diluted share. This result excluded an after tax loss of $2.5 million that we incurred to retain the remaining $74.6 million of our outstanding April quarter senior subordinated note. On a comparable basis adjusted net income increased $5.7 million or 121.8% from $4.7 million in the first quarter of 2009. Our 2009 results excluded a $4.2 million after tax gain on the redemption of a portion of our (2.25) convertible note as well as the 549,000 after tax loss on dealership disposition. We redeem the $74.6 million face value of 8.25 notes in the first quarter using proceeds when the convertible note offering that we completed March. We initially issued a $100 million at 3% coupon. The 3% notes are convertible into cash and is applicable common stock, at initial conversion price of 38.61 per common share. In conjunction with the issuance to the 3% note, we entered into separate hedge and warrant transactions related to our common stocks that effectively increased the conversion price for common share of the 3% notes from 38.61 to 56.74. Before factoring the impartment of this, the net cost of the hedge and warrant transactions was $14.5 million. On April 1, the underwriters exercise their overallotment option for an additional $15 million and we entered into four spotting hedge and warrant transaction. During the first quarter on a consolidated basis, revenues increased to $171.3 million or 16.8% to $1.19 billion compared to the same period a year ago, reflecting a increases in each of our business segments. Our new vehicle growth margins improved 70 basis points to 6.1% and parts and service margins improved 90 basis points to 53.7%. Retail used vehicle margins declined to 140 basis points from the prior year period but increased 70 basis points to 9.5% sequentially. Wholesale margins continued to be strong improving a 110 basis points to 3.9%. Our growth profit increased 29 – sorry our gross profit increased $21.9 million or 12% from the first quarter a year ago, outpacing the increase in absolute SG&A expenses. This resulted in a reduction in our SG&A expense as a percent of gross profit of 250 basis points, 81.4% from the first quarter of 2009. Floorplan interest expense decline $1.4 million or 15.6% in the first quarter of 2010 to $7.6 million as compared with the same period a year ago, primarily reflecting a $122.5 million reduction and weighted average floorplan borrowing during the quarter. At March 31, 2010 our new vehicle inventories did a 15,200 units with a value of $54.3 million compared to 15,100 with the value of $484.1 million a year ago. Other interest expense increased 100,000 or 2% to $7.1 million for the first quarter of 2010 reflecting slightly higher mortgage interest expense. Our consolidated interest expense included $1.5 million of non-cash discount amortization related to our convertible notes in both first quarters of 2009 and 2010. As a reminder our covenant calculation exclude the impact of non-cash interest. Manufactures interest assistance which we record as a reduction of new vehicle cost of sales is the time that vehicles are sold covered 69.2% of total floorplan interest expense up from 50.6% in the first quarter year ago, primarily as a result of faster inventory turns. Now, turning to first quarter same store results. In the first quarter we had revenue of $1.17 billion which was a 17.4% increase from the same period in 2009. Our new vehicle retail sales improved 18.5% to $633 million, 15.6% more unit despite the Toyota stop sale which impacted 60% of our Toyota sales for two weeks during the quarter and unfavorable weather events that interrupted operations in parts of the North East, Oklahoma and Texas in January and February. We experienced increases in most of the brands that we represent but most notably Nissan unit sales increased 55.8%, Toyota unit sales improved 14%, Ford unit sales increased 23.1% and Lexus unit sales grew 23% and our revenues per unit sold improved 2.5% to $31,304. Generally, we believe that our new vehicle results are at least consistent with the retail performance with the brands that we represent in the market that we serve. Retail used vehicle revenues increased 24.7% to $272.5 million on 15.9% more units. With the increase in new vehicle sales and trading activity, we also experienced an increase in our wholesale used vehicle revenue of 23.1% and 6.1% more units. Our parts and service revenues increased 3.9% primarily reflecting an 8.6% improvement in our warranty parts and service business which was driven by the recent Toyota recall. Importantly we also experienced a 2.8% increase in our customer spare parts and service revenue reflecting an 8.2% increase in our domestic brand stores and 3.7% improvement in our luxury brand stores. In addition our wholesale parts sales grew 5.5% as a result of increased business with independent coalition centers and repair shops. Our (F&I) revenues were up $5.7 million or 18.2% compared to the same period a year ago. In addition to the positive impacts from the 15.7% increase in new and used retail unit sales our (F&I) revenues were bolstered by a 3.9 percentage point improvement in our finance and attrition rates and lower charge back off. Overall our (F&I) income to retail unit increased $22 to 1063 in the same period a year ago. Our new vehicle growth margins improved 50 basis points to 6% and our used vehicle margins were consistent with our consolidated results coming in at 9.5%. On the new vehicle side of the business gross margins improved nearly all the brands that you represent. On a per unit basis our new vehicle gross profit improved 13.6% to $18,091. Our same store parts and service margin improved 80 basis points to 53.7% primarily reflecting the positive impact with Toyota recalls and our warranty parts and service segment of this business. With the 12.7% improvement in our gross profit, the leverage on our cost structure resulted in a 150 basis point improvement in SG&A as a percent of gross profit of 81.2%. In absolute dollars the SG&A increased 10.6% from the first quarter a year ago to $163.3 million reflecting the vehicle sales volume improvement. Now turning to liquidity and capital structure. During the first quarter of 2010, we generated cash flow from operations on an adjusted basis of $47.5 million. We used $3 million for capital expenditures to construct new facilities, to purchase equipment and improve the existing facilities. In addition, we invested another $13.8 million into our floorplan offset account which we used to temporarily hold excess cash. As a result we had $28.2 million of cash on hand and $85.4 million invested in our floorplan offset account as of March 31st 2010 bringing immediately available funds to a total of $113.6 million at quarter end. In addition we had a $177.4 million available our acquisition line that can also be used for general corporate purposes. As such our total liquidity at March 31st 2010 was $291 million. We’ve updated the financial covenant calculations within each of our debt agreement and as of March 31st 2010 we were in compliance with all such covenants. Based upon our industry outlook and projected earnings for 2010, we expect to remain compliant for the foreseeable future. With regards to our real estate investment portfolio, we own $382.9 million of land and buildings at quarter end, which represents approximately one-third of our total real estate. To finance these holdings, we have utilized our mortgage facility and executed borrowings under other real estate specific debt agreements. As of March 31st we had borrowings outstanding of a $190.1 million under our mortgage facility with $44.9 million available for future borrowings. With regards to our capital expenditures, we will continue to critically evaluate all planned capital spending for 2010 and work with our manufacturer partners to maximize the return on our investments. We anticipate that our full year capital spending will be less than $40 million. For additional detail regarding our financial condition including specifics regarding our covenant calculations, please refer to the schedules of additional information attached to the news release as well as the investor presentation posted on our website. With that I’ll now turn it back over to Earl. Earl?
Earl Hesterberg: Thanks, John. With improved dollar retailing conditions we’re excited about growing our business again. As John mentioned we more than doubled our bottom line earnings, validating that we are solidly positioned to grow the company while maintaining the discipline we’ve demonstrated during the last 18 months. We’ve made a good start this year with the additions of the Springer franchise to our Mercedes Benz stores in Augusta and Massapequa, Long Island in January. The doubling of our footprint in the UK with the acquisition of two BMW mini stores in Farnborough and Hindhead in February, and the addition of two dealerships in South Carolina in April Toyota signed on (inaudible) and Audi of Columbia. Continue to review potential acquisition opportunities to find those that make good business sense and we will only proceed with those that we believe will return value to our shareholders. That concludes our prepared remarks. In a moment we’ll open the call up for Q&A. I’ll now turn the call over to the operator to begin the question-and-answer session. Operator?
Operator: (Operator Instructions) Our first from Stevens, we will go to Rick Nelson.
Rick Nelson – Stevens: Ask if we could try to separate the Toyota recall benefits from the reported results, maybe looking at the same-store sales of the 3.9% that you reported in service parts but that would have looked like ex-Toyota.
John Rickel: Yes, Rick, this is John. Ex the two large recalls, we would have been up 1.1% on a total basis. So the recalls were worth 2.8 of the 3.9 percentage point growth.
Rick Nelson – Stevens: And if we could take a look at warranty and customer pay also, ex-Toyota stores that would be helpful.
Earl Hesterberg: I don’t have the specific on warranty but warranty would have been down significantly without the Toyota increase.
John Rickel: Yes, the specific numbers is excluding the recalls would have been down 5% on warranty. Customer pay would have been, was basically unchanged, was up 2.8%.
Rick Nelson – Stevens: Okay, and that excludes the Toyota stores?
Earl Hesterberg: No, that excludes the recall. If you want to exclude Toyota in total, Rick, our customer pay would have been up 4% excluding Toyota and warranty would have been down 9.2% excluding Toyota in total.
Rick Nelson – Stevens: Got it, okay, thank you and that’s helpful. Do you think at the end of the day then Toyota was actually plus for the first quarter? I know you had indicated that you thought it might negatively impact in the first quarter.
John Rickel: Yes, Rick, it was definitely a significant plus all driven by one month obviously in March but at the end of February, our Toyota sales were down 17%. We ended the quarter up 14%. So the March Toyota sales more than offset the issues we had earlier in the quarter on new vehicle sales and of course, we just related the parts and service numbers. So Toyota was a very powerful part of our first quarter performance.
Rick Nelson – Stevens: And how do you say that Toyota recall rolling out, was it front end loaded or is there still a significant number of cars out there?
Earl Hesterberg: Yes, it was front end loaded in terms of volume but now the mix is shifting. We were running three of the accelerator pedal spacer bar repairs to every two accelerator pedal shaping repairs and now it’s down to about 1 to 1 and it will start to shift more to the pedal shaping, you know the format related repair. And we were one point doing a 1000 a day and now we’re doing 300 a day total. So you can see that the volume of repairs is coming down but it’s shifting toward the repair that takes a bit longer and hence has a little more revenue with it.
Rick Nelson – Stevens: And how does the margin compare on that?
Earl Hesterberg: Well, they’re both mostly labor repairs Rick, so you know they’re close to, now they’re between 60% and 70% gross margins because it’s mostly labor, there aren’t many parts involved. I believe the time on the format related accelerator pedal shaping repair is two, two-and-a-half times more labor than the sticky accelerator pedal repair.
Rick Nelson – Stevens: Okay, that’s helpful. Well, I’d also like to ask you about capital allocation. And John, how you evaluate the opportunities between debt pay down and acquisitions? Are acquisitions still high priced or are you finding opportunities out there?
John Rickel: Yes, Rick, our priority at the moment would be to invest to expand the company after two years of contraction and playing defense but I would say although we’ve obviously made some very valuable acquisitions this year that are good returns on investment for our company that we’re excited about, I don’t see a lot of those in the market. There are a lot of potential acquisitions in the market but those that really make financial sense are still fairly limited but investing to grow our business is our top priority right now. Obviously. It’s a dynamic marketplace and we’ll have to look at that going forward. I don’t think we’re in the mood to repurchase debt a few weeks after we just issued some new debt but again you know it’s all a mathematical calculation at any point in time how we can best deploy the cash our business generates. So we’re open open on a continual basis to revisiting that as we are with, you know with things like a dividend.
Rick Nelson – Stevens: And finally if I could ask you about areas of regional strength and weakness? 
Earl Hesterberg: Yes, actually for the first time in the last couple of years the strength, which by the way, the strength wasn't really for a quarter, the strength was for a month at least for our company, but it was pretty well distributed across the country; not quite as strong in California for us as the rest of the country. But for the first time we really see what appears to be something driven by the consumers’ psychology across the country and that's very encouraging for us, because it also appears to have carried through into April.
Rick Nelson – Stephens: How long do you think Toyota steps on the incentive pedal?
Earl Hesterberg: I believe that will continue through second and probably end of the third quarter. They appear to be very focused and aggressive and very much want to compete and they are very wide awake. Now, I wouldn't necessarily guarantee that they will maintain this exact level of incentives whether it’s into May or the summer of selling months, but they are very much focused on maintaining their market position and that's a very good thing as far as we are concerned.
Rick Nelson – Stephens: Alright, thanks a lot and good luck.
Earl Hesterberg: Thanks Rick.
Operator: From Bank of America Merrill Lynch, we will go next to John Murphy, please go ahead sir.
John Murphy – Bank of America Merrill Lynch: Good morning guys.
Earl Hesterberg: Good morning John
John Murphy – Bank of America Merrill Lynch: Just wondering if you could talk a little bit about showing traffic through the quarter and how it trended. Also that relative to your ability to close the ups or how available financing was to close the consumer as they showed up in the showroom?
Earl Hesterberg: Certainly John. Our traffic was very poor in January and February. It may have been flat to slightly up in February, but January was very, very poor and February was below average. So March was very explosive with traffic up anywhere from 10% to 50%. And so again, this was a one-month phenomenon in terms of the quarter. But the good news is unlike cash for clunkers it was, it has continued after the close of the month end and appears to be running at a very nice rate in April as well. So it was traffic that really has been driving the recovery in the market. It's also true that credit is not an insignificant factor. Credit is a little bit more available. A few more customers are being bought. Advances are better. For the first time we seen GMAC buying retail paper. Now bear in mind, GM and Chrysler is probably only 7% of our business, so it's not a big thing for us, but it appears that credit is loosening up. But a traffic was the underlying factor for this increase in sales. The closing rates increased simultaneously, because the incentives were also very powerful and many of the incentives were financed driven offers, which certainly complement a little bit looser credit. So we had the best possible condition of more customer shopping in March and being able to close more of it. So it really is the best market selling conditions we have had in probably two plus years.
John Murphy – Bank of America Merrill Lynch: But if you could comment on the acquisitions in the quarter, because you are sort of under the impression that you are going to have a more cautious stance on acquisitions, but over $240 million in revenue in the first quarter is a pretty healthy run rate if you will. With those very opportunistic as far as the stress sellers or geographic locations, I mean what was the real driver that big, the big acquisition run rate in the first quarter?
Earl Hesterberg: Opportunistic opportunities. You articulated it better than I could. Absolutely just things that fit with our strategy that were too good to pass up. But I don't want to convey that there are a lot of deals like that out there because they're simply are not. And probably the prime complicating factors and a lot of the potential acquisitions on the market at the moment are the decline in real estate values. If you are going to buy a dealership today first of all even though the market is turning up fairly the profit opportunities even in a 12 or 13 million unit market or a dealership aren't the same as they were at 17 million units a couple of years ago, and then there was no doubt a significant decline in real estate values, so you can't lock yourself into a rent with something other than what current real estate values are whether you buy the property or facility or lease it. And then there are CapEx requirements that are associated with many potential acquisition opportunities these days and we need to be very mindful of our overall CapEx spending also. So those factors culminate in a market environment still where I don't really think financially attractive acquisition opportunities are overwhelming at the moment, but we are certainly looking at them.
John Murphy – Bank of America Merrill Lynch: And then just lastly, was there any change in floor plan assistance being paid by any automakers in general? It looks like floor plan assistance versus floor plan expense was a bit of a negative in the quarter. I was just trying to understand if there was any change in the assistance payment terms.
Earl Hesterberg: I don't think there was any change in the terms. But we actually had a little better coverage of our overall floor plan expense from manufacture reimbursement due to a faster term rate of our new vehicle inventory.
John Rickel: That's correct.
John Murphy – Bank of America Merrill Lynch: Okay, great, thank you very much.
Earl Hesterberg: Thank you.
Operator: Scott Stember of Sidoti & Company has our next question, please go ahead.
Scott Stember – Sidoti & Company: Good morning.
Earl Hesterberg: Good morning, Scott.
Scott Stember – Sidoti & Company: You talked about how Lexus is faring right now following the recent recall of the midsize SUVs that they have.
Earl Hesterberg: Yes, we had not seen any significant impact in our Lexus business. I know a couple of the actual recall actions have impacted some of their models. But overall, our Lexus business is moving quite well. There is a year-over-year comparison issue if you look at Lexus dealerships individually, because about a year-ago, Lexus had a fairly significant recall campaign involving some high dollar repairs I believe it was steering rack. So our warranty business on Lexus year-over-year is impacted quite a bit on that comparison. But Lexus has a very high brand loyalty with their customers and very competitive products and our Lexus business is quite stable.
Scott Stember – Sidoti & Company: Alright, just shifting gears over to the UK; it looks like you guys are getting a little bit more of a toe hold over there. Can you just talk about from a big picture what you guys are seeing there as far as trends in the market and how you see yourself positioned going forward?
Earl Hesterberg: Relative to the UK market Scott?
Scott Stember – Sidoti & Company: Yes.
Earl Hesterberg: Yes, we have wanted to gain some more scale there for some time and we had an opportunity to increase our presence there both with the brands that we already were operating their BMW and many and in a geography contiguous to where we were already operating. And so we were able to basically double the size of our operation in the UK, but at this point, it's still with BMW in many but very good markets. And so we will continue to look to expand our footprint in the UK both with BMW and many in other brands. The UK market is likely to soften up a bit relative to the volume brands, which of course won't impact us at the moment, because they are scrapping incentive or cash for clunkers equivalent expired recently. But that didn't impact the luxury brands very much during the existence of the program and likely they won't have any payback, which the volume brands will in the UK. But we have a good management team and the ability to grow our business in the UK if we can find acquisitions there that represent an attractive return on investment.
Scott Stember – Sidoti & Company: And could you just talk about in general how your UK stores did the year-over-year in this quarter?
Earl Hesterberg: They were up significantly, up significantly.
Scott Stember – Sidoti & Company: Okay. That's all I have right now, thank you.
Earl Hesterberg: Thanks Scott.
Operator: Matt Fassler of Goldman Sachs has our next question.
Mark Andre – Goldman Sachs: Hi, this is actually Mark Andre filling in for Matt. First question, I had a question first in service. I would be interested in hearing your views about the impact from lower units in operation more broadly on the industry and how we should think about this segment going forward without talking about the new term noise of the Toyota recall.
Earl Hesterberg: Well, relative to the units in operation, I don't think we really could see much impact in Q1. But I think we should be realistic and understand that is a factor going forward when you look at the five-year window of units and operation we typically deal with as franchise new car dealers, there's going to be some pressure on that. But we actually have surprisingly strong customer pay business just forget about the Toyota issues, I think our domestic customer pay business was up over 8% in the first quarter, which very – was very surprising to me, positive surprise. But I think there is probably some pent up demand from people who were putting off repairs for their vehicles and now with a more positive consumer psychology, they may be coming into the market this year to get some repairs. So there are some positive factors as well as these longer warranties and the fact that we continue to invest more in our parts and service capabilities that should help us fight against the reduced units in operation as well as the inherent decreases in the (inaudible) business that kind of come along with the improving manufacturer quality. So I think when everything mixes out and the Toyota business kind of finds its natural level, if we can grow our parts and service business this year, that will be a good target in total. All up, all in.
Mark Andre – Goldman Sachs: Was wondering do you think there could be a new trade – people trading up like people that might have traded down going to repair shop last year and coming back, are you seeing those people coming back or is it really just strength in terms of pent up demand?
Earl Hesterberg: I am not exactly sure who those people are. But it’s clearly some pent up demand and I would expect that its people who are normally customers of our dealership who have just been putting off repairs that we haven't had time to really study that yet and we were, as I mentioned, pleasantly surprised by some of that strength in customer pay. And realistically, our customer pay business as a company would have been even higher in the quarter if we hadn’t displaced so much Toyota customer pay business with the warranty business that pretty much filled up our shops.
Operator: From Wells Fargo Securities, we will move next to Matt Nemer.
Matt Nemer – Wells Fargo Securities: My first question is regarding Texas. It seemed like Texas fell into the recession a little late and then perhaps is coming out late. But I was wondering if you could just comment more qualitatively on what you are seeing in your markets in Texas right now?
Earl Hesterberg: Well, on a relative basis, Texas actually was a drag on our business through the last year. And I think I had mentioned before that the Houston automarket for example was down 30% last year, which was about double what the northeast markets did on a year-over-year basis. But the same token, Houston seemed to recover in March just as well as every other area in the country. A little hard for me to get much of the trendline after three months of the year particularly when two of the month’s were dreadful and one was outstanding. But our expectation is that our big issues here in Houston related to the energy business when energy prices, oil and natural gas in particular dropped very low 12 to 18 months ago, and they have been kind of quietly and steadily improving now north of that, I think $80 a barrel. So that should slowly improve the economy here in Houston and should allow us the kind of at least for four-month par with the national average this year.
Matt Nemer – Wells Fargo Securities: Great. And then following up on one of Rick’s questions regarding the recalls, as the mix shifts from the shim replacement to the pedal entrapment replacement and the labor dollars go up by a factor 2 to 2.5, what kind of impact do you think that could potentially have on your service same-store sales in the second and third quarter. I would think it should be a potentially a higher impact.
John Rickel: Matt, this is John. The dollars per repair are likely to trend up a bit but of course, the number of repairs as Earl indicated are going to be down pretty significantly. We had a pretty intense rush in the first month of those repairs being available and its steady slowdown now to about 1500 a week. I think the volume falloff may offset the increase in labor fees.
Matt Nemer – Wells Fargo Securities: Any idea what percentage of the entrapment repairs in your markets have been completed relative to the percentage of shim repairs?
Earl Hesterberg: No, I don’t other than there were four Toyota models still to roll out on the format and entrapment repair and the big volume one is Corolla. So Corolla is still to come. So Camry I believe has been rolled out, Corolla is to come and that's where a big part of the volume is. But I would only be guessing if I tried to give you a number, so I shouldn’t try.
Matt Nemer – Wells Fargo Securities: Okay, and then, turning to expenses, you had a great gross profit performance, you were up I think about $15 million versus the fourth quarter but your EBIT dollars sequentially were up about $2 million. So my calculation about 15% incremental flowthrough. I am just wondering if there is something, if there is some investment that took place in the quarter or a reset of the way you are compensating your folks, something that may have impacted the incremental flowthrough.
Earl Hesterberg: Well, let me just talk about SG&A because I think that's the part of our performance, I am the least satisfied with – as it’s still well over 80%. There are two operational things that related to that. First was as we began the year, we intended to be very aggressive and focused all of our efforts on selling. And because after a year and half of cost cutting, we thought it was time to try to drive the top line. And we were very aggressive particularly with advertising in January and February and the market wasn’t there and we were very fortunate that we were bailed out to a certain degree by the market showing up in March but we spent disproportionate amounts of advertising in January and February which – it is what it is. And we are also in the first quarter reinstituted some compensation reductions which our employees had sacrificed in our effort to reach our cost reduction goals and to keep our company helping during the downturn. So we did reinstitute some compensation facets in the first quarter that are probably increased cost a little disproportionate with the increase in gross during the quarter. Those are the two –
John Rickel: Matt, this is John. The other kind of unique item when you go from fourth to first and basically happens every year is your reset on things like your social security taxes, your payroll taxes. And on a quarter-over-quarter basis, that was about $3 million of added expense, going from fourth to first.
Matt Nemer – Wells Fargo Securities: Got, okay, that's really helpful. And then lastly, and with regards to the acquisitions that you have done year-to-date you have acquired I think about $240 million in revenue. Can you talk to the cash pay to the total consideration for those deals?
John Rickel: No.
Matt Nemer – Wells Fargo Securities: Well, I tried. All right, thanks very much.
Operator: Ee Lin See of Sirios Capital has the next question.
Ee Lin See – Sirios Capital: Hi, I am curious about your increase in your 2010 (SAR) assumption from previously 11.5 to now 11.7. Is that just following JDPower or are you –
Earl Hesterberg: Yes, we are just following JDPower. We have found over time that their – they spend more time on this than we do and their team could be as accurate as any other forecasting service that we have used or considered using?
Ee Lin See – Sirios Capital: Traffic versus March?
Earl Hesterberg: Sorry, was your question traffic?
Ee Lin See – Sirios Capital: Yes, in April versus March?
Earl Hesterberg: Yes, we are seeing continued good traffic in April. So far April looks like it’s continuing the March trend.
Ee Lin See – Sirios Capital: Okay, and any comments on the new vehicle gross margin, I think 21% versus your long-term guidance of 6.5%?
John Rickel: Yes, I think that margin performance is still below what we would hope to achieve long term. It was driven to a high degree by a lot of our Toyota business, which was driven by some program lease deals in particular Corolla and Camry are a very big part of the Toyota incentive offerings at the moment and margins on small cars like Camry and in particular on advertise lease deals, those vehicles don’t have the same margin potential that a lot of your typical vehicles doing in normal market. So I would think that our high mix of Toyota sales particular program – incentive program Toyota units continues to keep us from maximizing our gross margin percentage. But the beauty is it’s driven an awful lot of volume.
Ee Lin See – Sirios Capital: Okay, thank you.
Operator: Ryan Brinkman of JPMorgan has our next question.
Ryan Brinkman – JPMorgan: Hi, good morning. You commented a little earlier on the profitability of Toyota related warranty work. And I understand that in the past yourself or others have commented that parts and service warranty work can sometimes carry even close to 60% or 65% gross margins versus overall parts and service of maybe closer to 50%. And given that the warranty work likely increased substantially quarter-over-quarter, can you help us in terms of thinking about why we did not see this reflected in a sequential uptick in parts and service gross margins?
John Rickel: Certainly on a year-over-year basis, you did see it. We were up about 80 basis points or 90 basis points from same period a year-ago and largely explained by the increase in the warranty works.
Ryan Brinkman – JPMorgan: Okay. And then sequentially is there a seasonality there that needs to be taken into account or –?
John Rickel: Yes, I really didn’t look versus fourth quarter. But yes, you can have the seasonality, you can also have the level of internal work that’s being done.
Ryan Brinkman – JPMorgan: Okay, thanks for that. And then just real broad and I know you have touched on this in the past. But connecting the dots regarding the recent year's decline in gross profit per used vehicle retailed as chronicled on slide eight of your presentation, and then as well as the longer-term decline in gross margins for new vehicle retail, not specific to your company of course, are you able to please comment on possible future trending for new and used vehicle gross margins and perhaps speak to normalized gross margins for new and used vehicle retail given the market decline and vehicle dealerships across the country that you also outline nicely on slide 17, I think?
Earl Hesterberg: Well, let me first just comment on the pressure used vehicle margins. Our 9.5% retail used vehicle margin have been fine particularly impressive, although we did improve it from the previous quarter. There are two factors that gave us a little headwind on that at the moment. The first is that for the last year or two, we have had to go to auction or other outside sources in purchase a disproportionate percentage of our inventory for sale, because we weren’t getting enough trade-ins, because new vehicle sales were down. And as new vehicle sales pickup, we should be able to purchase less vehicles outside which should give us an opportunity for better margin. The other thing that’s become more challenging in the last two quarters is the used vehicle market prices have increased so much and they have been on a trend now for probably 15 months or more. And I guess they are at certainly recent highs that they have started to crowd new vehicle prices. And in particularly, in March, when new vehicle incentives got very aggressive, new vehicle pricing starts to sit on top of used vehicle pricing. So if you want to move those used units on someone who is looking at both new and used, you sometimes have to take a little over price to get the sale. So the relatively of new and used and the outsourcing of a significant amount of our inventory has prevented us from getting that retail margin into double digits recently. But I think we can achieve double-digit margins at some point in the future again as market conditions get back more toward normal.
Ryan Brinkman – JPMorgan: Okay, thanks for your help.
Operator: And our final question today comes from Ravi Shankar, Morgan Stanley.
Ravi Shankar – Morgan Stanley: Thanks very much. I had a follow-up on the SG&A. On slide 21, you have given us a pretty good breakup of the four components of SG&A as a percentage of gross profit. Can you just talk about what longer-term levels for these components look like if advertising is going to stay at 5% or it’s going to go to more like a 4.5% number?
Earl Hesterberg: I would expect the advertising percent to drop just because as top line growth occurs with the recovery in the market we should get more efficient with advertising.
Ravi Shankar – Morgan Stanley: Okay. And the others – other components came more or less the same. I am just trying to get a sense of what you think longer term, maybe not even longer term, what 2010 SG&A gross kind of looks like if you are going to dip down below the 80% mark.
John Rickel: Yes, Ravi, that thing is difficult, because it depends on obviously what sort of sales forecast and where you think the rest of the year is trending. And since we really haven’t given guidance that stuff to get into. I mean I would say that you would normally anticipate further declines in second and third quarters, those are your usually your two strongest selling quarters. And as you can continue apply top line leverage, you would hope that you would continue to see reductions in SG&A as a percent of growth. But beyond that, you have to really kind of come up with the forecast what do you think the top line is going to do.
Ravi Shankar – Morgan Stanley: Got it. Can you talk about what inventory levels for new vehicles look like in the market?
Earl Hesterberg: Inventory levels are probably the best they have been in a long time. In fact, about as far as I can remember, particularly given the fact that there is some selling activity going on. So with our new vehicle inventory of 48 days and I don’t think we are necessarily all that a typical in the industry that that relationship of supply and demand is very healthy at the moment, which is also very encouraging part of what’s happening right now. And for us to have opportunities to further increase our new vehicle margin, we need this supply and demand balance to continue. And throughout the downturn, one of the potentially positive things is virtually all the manufacturers’ quick jamming vehicles on their dealers. And if we can make and hold that as the market recovers, that should help our business model.
Ravi Shankar – Morgan Stanley: Are you hearing at all of stories of low inventory being an issue to sales?
Earl Hesterberg: It is and will be a little bit of an issue, but I am always happy to take that tradeoff. I mean there have been sales loss even throughout the very poor first quarter in terms of Jan and Feb with Chevrolet Equinox, Tahoes, and some of the these brands have been losing sales even throughout the winter. But the good news is when you have that situation, you can actually make some money when you do sale one. So I think most dealers would be happy to miss a few sales to keep this relatively optimal inventory balance that we seemed to have it at the moment.
Ravi Shankar – Morgan Stanley: Got it. And final question, you had an interesting comment earlier in the call about increased domestic customer pay business. What do you think is exactly driving that? I mean you spoke about pent-up demand and some people going back into the market, but I wouldn't think that's something isolated to the domestic brands. So do you think the reduced foot printed that GM and Chrysler have has anything to do with this or is it more of a – just people is kind of holding back?
Earl Hesterberg: I was also surprised that the domestic customer pay business disappeared more quickly in the downturn than certainly than the import and luxury brand business. So it almost appears that the domestic brand customers are economically more sensitive and not have – I haven’t done any detail study, but they – our domestic customer pay business was down in many quarters last year 8% or 9%. And now that it’s up 8% plus in the first quarter, it just appears that they are very economically sensitive. Consumer confident sensitive, right?
John Rickel: Ravi, this is John. I think though that you are right there. There may be a piece of it and it’s harder for us to quantify that may be from the neighboring dealer closures, which would also be a positive for this. But I think they are – if you look kind of income levels, all of the measureables, the domestic customers tend to be a little lower down on the economy food chain. And as a result, probably are a little more price sensitive.
Ravi Shankar – Morgan Stanley: That does make sense. Thank you very much and have a great day.
John Rickel: Alright, thank you.
Operator: And at this time, I would like to turn the call back over to Mr. Hesterberg for closing remarks. Please go ahead, sir.
Earl Hesterberg: Thanks to everyone for joining us today. And we look forward to updating you in July on our 2010 second quarter earnings results. Thanks and have a nice day.
Operator: And again that does conclude today’s conference. We thank you all for joining us. Copyright policy: All transcripts on this site are the copyright of Seeking Alpha. However, we view them as an important resource for bloggers and journalists, and are excited to contribute to the democratization of financial information on the Internet. (Until now investors have had to pay thousands of dollars in subscription fees for transcripts.) So our reproduction policy is as follows: You may quote up to 400 words of any transcript on the condition that you attribute the transcript to Seeking Alpha and either link to the original transcript or to www.SeekingAlpha.com. All other use is prohibited. THE INFORMATION CONTAINED HERE IS A TEXTUAL REPRESENTATION OF THE APPLICABLE COMPANY’S CONFERENCE CALL, CONFERENCE PRESENTATION OR OTHER AUDIO PRESENTATION, AND WHILE EFFORTS ARE MADE TO PROVIDE AN ACCURATE TRANSCRIPTION, THERE MAY BE MATERIAL ERRORS, OMISSIONS, OR INACCURACIES IN THE REPORTING OF THE SUBSTANCE OF THE AUDIO PRESENTATIONS. IN NO WAY DOES SEEKING ALPHA ASSUME ANY RESPONSIBILITY FOR ANY INVESTMENT OR OTHER DECISIONS MADE BASED UPON THE INFORMATION PROVIDED ON THIS WEB SITE OR IN ANY TRANSCRIPT. USERS ARE ADVISED TO REVIEW THE APPLICABLE COMPANY’S AUDIO PRESENTATION ITSELF AND THE APPLICABLE COMPANY’S SEC FILINGS BEFORE MAKING ANY INVESTMENT OR OTHER DECISIONS. If you have any additional questions about our online transcripts, please contact us at: transcripts@seekingalpha.com. Thank you!